Operator: Thank you for joining the Greenlight Re Conference Call for First Quarter 2016 Earnings. Joining us on the call this morning are David Einhorn, Chairman; Bart Hedges, Chief Executive Officer; Tim Courtis, Chief Financial Officer; Brendan Barry, Chief Underwriting Officer; and Jim McNichols, Chief Actuarial Officer. The Company reminds you that forward-looking statements that may be made in this call are intended to be covered by the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are not statements of historical facts, but rather reflect the Company's current expectations, estimates and predictions about future results and events and are subject to risks, uncertainties and assumptions, including those enumerated in the Company's Form 10-K dated February 22, 2016 and other documents filed by the Company with the SEC. If one or more risks or uncertainties materialize or if the Company's underlying assumptions prove to be incorrect, actual results may vary materially from what the Company projects. The Company undertakes no obligation to update publicly or revise any forward-looking statements, whether as a result of new information, future events or otherwise. Please note this event is being recorded. I would now like to turn the conference over to Bart Hedges. Please go ahead sir.
Barton Hedges: Good morning and thank you for joining us today. In the first quarter of 2016, Greenlight Re generated a profit from both underwriting and investing. Overall our fully diluted adjusted book value per share increased by 3.2% from the prior quarter end. Our combined ratio for the first quarter of 2016 was 97.3%. Written and earned premiums continue to grow due to retaining quality business and selectively adding new business. In the first quarter of 2016, we generated 166.8 million of written premium and 138.1 million of earned premium compared to written and earned premium for the first quarter of 2015, 129.7 million and 94.8 million respectively. Our four core areas non-standard automobile, Florida homeowners, employer stop-loss and property catastrophe retro represent 78% of the earned premium for the quarter and generated a composite ratio which is the loss ratio plus the acquisition cost ratio of 94.4%. Composite ratio for entire book of business was 93.8% for the quarter. Our loss reserves were generally stable this quarter. There were no significant property catastrophe events in the quarter and thus our catastrophe retro account continues to perform well. With respect to our property catastrophe aggregates, our maximum exposure to a single event is currently 166.7 million and our maximum exposure to all events is 236.7 million. Largest segment of our underwriting portfolio is non-standard automobile. This business continues to perform in line with our expectations and the underlying rate environment is favorable as rates increasing in excess of underlying law strengths. Our casualty business has grown and is now approximately 15% of the overall portfolio. This business consists of professional liability like D&O and E&O, medical malpractice, hospital professional liability and employment practices liability. Although reinsurance pricing environment for this business is competitive, we believe the underlying law strengths are stable at a profitable level. Our Florida homeowners book shrunk in 2015 and the renewal period for these accounts is approaching at June 1. Insurance fraud in Florida is always high and the current spike in fraudulent water damage claims known as the assignment of benefits issue is the most recent example. There was no progress made to address this threat to the insurance industry during the most recent meeting of the Florida legislature and as result the underlying rates need to increase significantly in order for this segment - the segment business to remain attractive for us. If we do not believe the underlying profitability of these accounts justifies our risk capacity, we expect to reduce this segment of our book further. Our customer centric underwriting strategy, speed of execution and innovative ideas continue to differentiate us in a highly competitive environment. The team is working well and we’re selectively adding underwriting and business production talent to the team. I'm pleased with the overall progress and believe we’re well positioned for the rest of the year. Now, I would like to turn the call over to our Chairman, David Einhorn to discuss our investment results and the progress in Greenlight Re's overall strategy.
David Einhorn: Thanks Bart and good morning everyone. The Greenlight Re investment portfolio returned 2.5% in the first quarter. During the quarter we made money on shorts and macro position. We had a few significant winners during the quarter. CONSOL Energy gained 43%, the company announced further successful drilling results and improved cash flow profile and $420 million sale of its medical assets. Michael Kors' Holding [indiscernible] earnings expectations for the third quarter in a row and the shares valued 42%. Our thesis that Kors' is not a bad but a fundamentally healthy brand is playing out. Earnings estimates are rising and the stocks still trade just 11 times earnings when you back out the net cash position. Stock is cheap on an absolute basis and trades are large discount to similar branded consumer goods companies. Our bubble baskets of shorts fell 13% during the quarter as investor sentiment shifted away from momentum in January and February and investors were less forgiving at earnings disappointments. We actively trade an update the basket composition and during the quarter we covered a few positions including MobileI and Viva. Gold was up 16% in the quarter as the ECB announced a kitchen sink policy, the Bank of Japan announced negative interest rates and the U.S. Fed reduced its forecast for future rate hikes. These increasingly aggressive and counterproductive monetary policies are bullish for gold. Our two biggest performance to track us for the quarter were Arizona and SunEdison. Arizona bank shares fell 32% on the BOJs implementation of the negative rates although negative rates present a headwind to all Japanese financials Arizona trade which is 60% of its book value which we believe is too low for a bank earning a double digit ROE without a credit or capital issue. SunEdison collapsed during the quarter and found their bankruptcy subsequent to quarter end. Unfortunately, we under estimated the fragility of the situation we are very disappointed with the outcome. During the quarter, we found a few new long positions in mortgage rates, American Capital Agency and Hatteras Financial, the Global Apparel Company, PVH Corp. Natural Gas and Yelp. In our current portfolio we are both bullish and bearish. We are bullish in companies that trade in all multiples had a high margin of safety and are fundamentally executing as we have seen from the excellent quarterly results from CONSOL Energy, Michael Kors and GM. We continue to own Apple which is traded down to a single digit PE of the bear case earnings. We believe there is tremendous value in Apple's brand in growing global customer base that periodically buys new devices and increasingly buys additional services. We're bearish on companies that are fundamentally challenged in pricing and a good bit of hope for the future. These include the oil frackers, heavy equipment manufacturers, our bubble basket of shorts and individual company specific shorts. We generated a good underwriting result during the quarter. I just returned from my Board meeting in Cayman, where we spent time discussing the 2016 underwriting plan in our strategic discussion. During the difficult 2015, we experienced the - the team is energized and the first quarter of good results in a volatile environment sets Greenlight Re on the right path to improve to 2016 performance. I look forward to seeing everyone next Thursday at Greenlight Re's biannual meeting. Now I’d like to turn the call over to Tim to discuss the financial results.
Tim Courtis: Thanks David. For the first quarter of 2016 Greenlight reported net income of $28.7 compared to a net loss of $24 million for the comparable period in 2015. The fully diluted net income per share was $0.77 for the first quarter of 2016 compared to a net loss of $0.65 per share for the same period in 2015. As Bart described, the gross premiums written for the first quarter of 2016 increased by 28.6% from the prior year period. Net earned premium increased by appropriately 45.7% primarily as a results of the earning out of a higher premiums written that were booked last year. Composite ratio for the first quarter of 2016 was 93.8% compared to 95% during the comparable period in 2015. The composite ratio for frequency business for the quarter was 96.7%, that was 56.2% for severity business. General and administrative expenses incurred during the first quarter of 2016 increased slightly to $7 million compared to $6.2 million incurred during the prior year period, primarily the result of higher compensation expenses incurred. Since our inception we have included all G&A expenses in our calculation of our expense ratio. If methodology was different from most of our peer reinsurance companies, as most insurers make an allocation of expenses and assign them to underwriting expenses for purposes of calculating an expense ratio. An effort to make our reported expense ratio and results in combined ratio more comparable with our peers, we have started to allocate expenses to underwriting for purposes of calculating our report combined ratio. We have revised prior year period expense and combined ratio to reflect this change. As the result our underwriting expense ratio for the quarter was 3.5% with the result in combined ratio being 97.3% which is 1.6 point lower than under our prior methodology. We reported net investment income of $28.4 million during the first quarter of 2016 representing a return of 2.5% on our investment portfolio managed by D&E advisors. The fully diluted adjusted book value per share as a March 31, 2016 was $22.88, an increase of 3.2% for the quarter and a decrease of 24% from $30.09 per share reported at March 31 2015. At a recently held Board of Directors meeting, the Board approved the renewal of the Company's current share repurchase plan which expires on June 30 of this year. The plan provides for a repurchase authorization of 2 million shares and expires on June 30, 2017. There were no share repurchases during the first quarter of 2016. Greenlight Re held it's annual general meeting on April 27, 2016. I’m pleased to report that all seven proposals contained in the proxy were approved by shareholders including the reelection of all Directors for additional one year terms. Now, I’d like to turn the call back to Bart to provide some concluding remarks.
Barton Hedges: Thanks Tim. Our goal is unchanged. We aim to build long term shareholder value by writing a concentrated underwriting portfolio with the best risk adjusted returns we can find and to utilize the growth generated from these contracts to invest in our value oriented long short investments program. This investment approach is historically generating superior returns with less volatility than the overall equity markets. We will continue to execute on this strategy and remain focused on driving our key yardstick, increased and fully diluted book value per share. We appreciate your continued confidence in Greenlight Re. We are looking forward to hosting our fifth biannual Investor Day on May 12, at 4 P.M. at the French Institute, Florence Gold Hall at New York City. The program will consist of a formal presentation and Q&A session followed by a cocktail party. To RSVP or for more information regarding the event, please contact Garrett Edson of ICR. Thank you again for your time and now we’d like to open up the call to questions.
Operator: [Operator Instructions] Our first question comes from Brian Meredith of UBS. Please go ahead.
Brian Meredith: Thanks. Bart, just curious, you gave us some cautionary comments with respect to the Florida homeowners market, yet your growth in the quarter came from a new property in homeowners. Can you explain what that is? Is it not Florida?
Barton Hedges: We actually wrote a non-Florida homeowners account at 11 that would have had some written premium and earned premium in the quarter. So the Florida exposure would have remained pretty stable during the quarter. But as to my comments, we are expecting kind of a difficult renewal here and I think don't go the right way we’d expect to reduce our capacity, if the risk doesn't - or the return doesn’t measure up with the risk we are taking.
Brian Meredith: Great, thanks. And then, the second question. I’m just curious. On the A.M. Best negative outlook, I know what happened way back in October. Have there been any opportunities from a new business perspective that you may have thought you may have been able to get because of the negative outlook you haven't been able to get. And then also on top of that, how long do you think it will take for them to conclude their outlook negative and maybe stabilize the rating.
Barton Hedges: So I'll address those in reverse order. So when we were first put on negative outlook and confirmed the A-rating in October of last year, and the discussions with A.M. Best at the time was that it would be probably a 1 to 2 year cycle and that'd be- they had no plans to look at the rating until our next annual period which will be October this year unless there was anything significantly positive or negative. And there hasn’t really been anything significantly positive or negative. So we remained A-rated with the negative outlook. And then as to - I guess market realities of the ratings, as you mentioned, it's been a little while and we’ve gone through the 1-1 period and several other renewals. There has been very limited problems with respect to renewing business. The most rating sensitive portion of our portfolio is the longer-tail casualty business that we started to accumulate sort of end of 2014 and throughout 2015. And certainly at 1-1 it was much more challenging to find new business there. Renewals went along pretty well. But the rest of the portfolio, it’s not that rating sensitive. A lot of this business we had when we were an A minus company, the non-standard automobile, homeowners and Florida stock loss especially, those were just not that rating sensitive. So it had limited effect on all this.
Brian Meredith: Great, thanks. And then David, I’m just curious. In April, down a little bit on your investment results, can you kind of discuss what your thoughts are for the market here for the rest of the year? What are the problems right now in kind of picking stocks?
David Einhorn: Yes, the April result was very nearly - was down a fraction of a percent. We had a few good things that were going on in April, I think CONSOL Energy was good, I think Gold was good, I think Time Warner was good, I suspect that GM was good and we had some trouble in Apple, we have a little bit of trouble in couple of the shorts particularly in the bubble basket related areas and in the oil frackers. And so the month itself kind of netted out to a small negative. In terms of the overall outlook for the portfolio, I think it's very, very hard to forecast results on a periodic basis. I think what we do here is we assemble a portfolio that we think makes sense mostly from the bottoms-up with a little bit of top down and we expect that overtime that this is going to generate a good risk adjusted return. In terms of how we are positioned right now, we are probably long consumer, both in places like GM and also Chorus, and Macy's and Dillard's and PVH which is a new position that I think we just wrote about in yesterday's quarterly letter. And on a short side, we’re short - a bunch of cyclical staff gets rallied a lot including oil frackers and some equipment company's and so forth that it's not clear how greater recovery they are actually is for those businesses but some of those stocks have really moved a good deal and I would look for some of those things to revert as we get through, through the next period where initially the rubber needs to meet the road in terms of the expectations crashing into the realities of the company's earnings.
Brian Meredith: Great. Thanks for the answers.